Operator: Ladies and gentlemen, thank you for standing by, and welcome to the DraftKings' Q4 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions]. I would now like to hand the conference to your speaker today, Stanton Dodge, Chief Legal Officer. Please go ahead, sir.
Stanton Dodge: Good morning, everyone, and thanks for joining us today. Statements we make during this call that are not statements of historical facts constitute forward-looking statements that are subject to risks, uncertainties, and other factors that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. For more information, please refer to the risks, uncertainties, and other factors discussed in our SEC filings. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating DraftKings' operating performance. These measures should not be considered in isolation or as a substitute for DraftKings' financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our annual report on Form 10-K filed today with the SEC and in our earnings presentation which is available on our Web site at investors.draftkings.com. Hosting the call today, we have Jason Robins, Co-Founder, Chief Executive Officer, and Chairman of DraftKings, who will share some opening remarks and an update on our business; and Jason Park, Chief Financial Officer of DraftKings, who will provide a review of our financials. We will then open up the line to questions. I will now turn the call over to Jason Robins.
Jason Robins: Good morning, everyone. Before I begin my remarks, I would like to let everyone know that we published our first ESG report on Monday, February 22. The purpose of this report is to share with our stakeholders how we think about different environmental, social and governance factors, and highlight those that are most relevant to our business. We are committed to creating a long-term positive impact for our stakeholders and ensuring that we are aligned with our shareholders. Our Board and management team are also committed to further integrating ESG considerations into how we set and reach our goals.  The report discusses the key ESG topics that impact our operations and stakeholders. These topics include, among others, human capital management and responsible gaming. Our business success is driven by our highly skilled workforce. We believe it is very important to create and foster a culture of inclusion and belonging that makes each of our employees feel engaged, empowered and safe.  In addition, DraftKings became a flagship brand by providing a responsible way for gaming and sports enthusiasts to interact with our products, and we continue to lead and innovate in all areas of responsible gaming. Our ESG report is posted on our Investor Relations site. This is the first step of our ESG journey. We look forward to working together to achieve meaningful environmental, social and governance progress.  On today's call, we will cover the following topics. First, I will share some insights into our accomplishments for the full-year and fourth quarter. Next, I will provide an update on our recent state launches. Third, I will provide an update on the migration to our in-house proprietary sports betting engine as well as updates on some other important marketing and product-related initiatives.  2020 was a remarkable year for DraftKings. I couldn't be more proud of our employees for all their hard work and contributions to our success. The excitement and pride we have for our company’s success over the last year is balanced with the recognition of how fortunate we are to be able to make such statements.  Our priority continues to be the health and safety of our global workforce and their families. The successes achieved by DraftKings in 2020 would not have been possible without our employees, all of whom were impacted by COVID, including some who lost family members. Each and every one of our employees played incredible fortitude and flexibility.  Our list of accomplishments in 2020 is impressive. We completed the business combination with SBTech and became a publicly traded company in April. We are well on our way to completing the integration of the two companies from a team organization and business standpoint, and are progressing with the migration to our own in-house sports betting engine, which we expect will be complete by the end of the third quarter in 2021.  We also completed capital raises in June and October, raising net proceeds of approximately $1.7 billion. We launched mobile sports betting in Iowa, Colorado, Illinois and Tennessee and iGaming in Pennsylvania and West Virginia. With the Match II in May, we engaged with our customers in new ways to broadcast integrations that showcase live odds for event winners and other in-game markets.  We continued this innovative approach to the content integration we did with other events such as the Match III and the Mike Tyson vs. Roy Jones Jr. boxing match in November. We built relationships with major media companies, including ESPN and Turner Sports, as well as with professional sports teams, including the Chicago Cubs, the New York Giants, the Philadelphia Eagles, the Nashville Predators, the Detroit Pistons, and most recently the Charlotte Hornets.  We also expanded our relationships with major sports leagues and organizations in 2020, including Major League Baseball and the PGA Tour. We strengthened and diversified our Board by welcoming Jocelyn Moore and Valerie Mosley as Board members and Michael Jordan as a special advisor to the Board. And yesterday, we announced the appointment of baseball legend and entrepreneur, Cal Ripken, Jr. as an additional special advisor to the Board of Directors.  Earlier this month, we promoted Jennifer Aguiar to be our Chief Compliance Officer reporting directly to me. Jennifer joined DraftKings in 2016 as Head of Compliance and Risk and led the development of our internal compliance program. As our Chief Compliance Officer, she will be responsible for overseeing corporate compliance and enterprise risk management and will continue to play a pivotal role in our growth. Turning to our financial performance. We exceeded our expectations in 2020. Pro forma revenue grew nearly 50% to $644 million versus $432 million last year. Both MUPs and ARPMUP grew 29% in 2020. We had a strong close to the year with Q4 revenue growing almost 100% year-over-year, and MUPs and ARPMUP growing 44% and 55%, respectively, in the quarter. Revenue for the year was almost $95 million higher than the midpoint of our guidance. These results were due to overperformance in our core business as well as multiple assumptions on external factors that broke our way, such as the sports calendar, the extension of mobile registration, Illinois and better-than-expected whole percentage in online sports book.  Looking ahead, I remain very confident in the continued growth of the online sports betting and iGaming markets in the U.S. Even in a market like New Jersey where we've been live for two-and-a-half years, substantial growth continues. Our handle in New Jersey grew over 100% in 2020, and we are profitable in the state despite the impact of the COVID pandemic. We are raising our revenue outlook for 2021 due to our expectation for continued growth, the outperformance of our core business and newly launched states that were not included in the guidance we shared in November. Jason Park will provide more details in a few minutes.  Turning to new U.S. states for DraftKings and legalization trends. In the fourth quarter, we launched sports betting in Tennessee. In January, Iowans were able to register via our mobile app, rather than in person at a retail casino. We also launched mobile sports betting and iGaming in Michigan and we launched mobile sports betting in Virginia.  As you can see from the Tennessee Lottery’s monthly sports gaming report, the state has gotten off to a very strong start. The state of Tennessee had the best two-month launch in U.S. sports betting history with over $300 million in handle on its first two months of operation, including 38% month-over-month growth in December. As a result, sports betting has also generated several million dollars in tax revenue for the state. As you can tell, Tennessee is off to a great start and we are pleased with our position in the state.  While we've been live in Iowa for more than a year now, the state began to allow mobile registration on January 1, 2021. This change had a significant positive impact. In fact, more customers registered on our app on their mobile devices by 3 PM on January 5 than we registered through the entirety of 2020.  In January, we launched mobile sports betting and iGaming in Michigan and sports betting in Virginia. We continue to be live with mobile sports betting in more states than any other operator. Our launch in Michigan is going very well. Early results are consistent with our goal to always maximize overall user engagement and monetization across our product offerings.  DraftKings achieved 25% share of mobile sports betting handle and GGR and 24% share of iGaming GGR in the first 10 days of a highly competitive market. Our iGaming handle per capita in Michigan on Super Bowl Sunday was 1.9x the average of our iGaming handle per capita in New Jersey, Pennsylvania and West Virginia on their first Super Bowl. Important to note, these other three states were live in average of 179 days before their first Super Bowl, while Michigan was live for 17 days.  In addition, games created in-house by DraftKings have generated over 75% of our iGaming handle in Michigan. Our sports betting handle per capita in Michigan on Super Bowl Sunday was 1.1x the average of our sports betting handle per capita in 2018 and 2019 launch dates on their first Super Bowl.  These states, which include New Jersey, Indiana, West Virginia, Pennsylvania and New Hampshire, were live for an average of 118 days before their first Super Bowl. In addition, our cross-selling efforts are really working with 70% of Michigan sports book players also engaging with our iGaming product offering. In Virginia, our sports betting handle per capita on Super Bowl Sunday was 90% of the average of our sports betting handle per capita in our 2018 and 2019 launch dates on their first Super Bowl, despite Virginia being live for only 15 days. As a reminder, those states were live for 118 days on average prior to their first Super Bowl. We are proud to have been one of the first five operators who have launched in Virginia, and we expect it to be a great state for us.  We are now approaching three years since PASPA was struck down by the U.S. Supreme Court. 23 jurisdictions, representing 41% of the population, have legalized sports betting and 15 jurisdictions, representing 27% of the population, have legalized mobile sports betting, all of which are currently live. DraftKings is now live with online sports betting in 12 states, which is more than any other operator. These 12 states collectively represent 25% of the U.S. population. Six states representing approximately 11% of the U.S. population have legalized some form of iGaming. DraftKings is live in four of these states, representing approximately 10% of the U.S. population. The outlook for further legalization is also very promising.  So far in 2021, 19 state legislators have introduced legislation to legalize online sports betting, five state legislators have introduced legislation to expand their existing sports wagering framework, and one state legislature has introduced legislation to legalize sports betting limited to retail locations. In addition, four states have introduced iGaming legislation and two states have introduced online poker legislation.  I'd now like to comment on our progress with the integration and migration to our own in-house bet engine technology and discuss our new products and content initiatives as well as some of the recent business relationships we have established. I continue to be pleased with the progress we are making with our organizational integration and the migration to our proprietary in-house back-end and trading technology.  Our technology migration is on track to be complete by the end of the third quarter of 2021. Owning our own technology is important. It will help with innovation, speed to market, site stability and availability of markets. We will also realize gross margin synergies associated with the migration, starting in the fourth quarter of this year. We look forward to discussing the migration further at our Investor Day.  In December, we announced an agreement with InComm Payments to launch an industry-first retail gift card. The launch expands DraftKings presence in convenience stores and also enables consumers to gift the DraftKings experience to others in $25 and $50 denominations. It gives our customers another way to fund their accounts and engage with our products, while at the same time expanding our brand across retail locations nationwide.  In January, we furthered our relationship with Turner Sports after the successful broadcast integrations with the Match II and Match III. DraftKings collaborated with Turner to create a first of its kind show which streamed on the Bleacher Report mobile app, YouTube channel and Twitter feeds. Customer engagement was tremendous and shows the strong demand that is developing for sports betting content and device.  In the first 24 hours of streaming, the DraftKings Prop Reveal show received over 1 million views across the app and social handles. 16,000 people made comments on the video during the live stream, placing it second in terms of engagement for videos in this app’s history.  We also reached an agreement with the NFL to expand our daily fantasy sports and content partnership to Canada. Previously, this marketing and content deal was limited to the United States. Our announcement earlier this month of an expanded deal further deepens our relationship with the NFL.  Turning to the Super Bowl. DraftKings offer fans a FREE-to-play fourth quarter prop pool called the $55 million Prediction Challenge, which was featured during our in-game Super Bowl commercials. This promotion, which is our biggest free pool ever with over 1 million entrants, gave the Super Bowl audience a fun free way to get in on the excitement of the Super Bowl.  We have more people engaged with our apps on Super Bowl Sunday by entering the free pool or DFS contests or placing a sports bet or casino wager than on any day in DraftKings history. We also acquired more new paying players on Super Bowl Sunday than any previous day in our history.  Our investments in developing mobile apps that offer a consistent and engaging user experience continue to pay off. I am pleased to report that we have maintained the highest DFS App Store ratings for both iOS and Android, as well as the highest iOS rating for casino and sports book.  As sports betting and iGaming continue to expand across the United States, we are excited that DraftKings sports book and casino apps will soon be available to download for Android users via the Google Play Store. Starting March 1, Google is expanding the number of countries where developers can publish licensed real money gaming apps to include the United States.  I will now turn the call over to DraftKings CFO, Jason Park, who will discuss our fourth quarter results and how we are currently thinking about 2021.
Jason Park: Thank you, Jason, and good morning, everyone. Before I begin, I want to remind everyone that we will be discussing our results on a combined company pro forma basis to improve comparability as if the business combination had closed on January 1, 2019. Pro forma means that we are including B2B for the year ended December 31 for both 2019 and 2020, rather than just from April 24 through December 31, 2020.  We are pleased to announce that we generated 644 million in revenue for the full-year, representing a 49% increase versus fiscal year 2019 revenue of 432 million. Q4 revenue was 322 million, representing a 98% increase versus Q4 2019 revenue of 163 million. These incredible results were despite the impact that COVID-19 had on our business in 2020, in particular in Q2.  Our B2C business, which includes our core product offerings of daily fantasy sports, online sports book and iGaming performed extremely well this year as we launched OSB in four new states in iGaming in two new states. In addition, as Jason mentioned, we are continuing to see triple digit year-over-year growth in New Jersey handle, even though we have been live for two and a half years, which really speak to the continued adoption of these exciting product offerings.  Our B2C business generated $539 million for the full-year, representing a 67% increase versus prior year and Q4 revenue of 291 million, representing 122% growth. B2C monthly unique payers in the quarter increased 44% year-over-year to 1.5 million. The increase reflects strong unique payer retention and acquisitions across DFS, OSB and iGaming.  For the full-year of 2020, MUPs increased 29% which includes the impact of COVID-19 on our MUPs for sports book and DFS primarily during the second quarter and early in the third quarter. Average revenue per monthly unique payer or ARPMUP up was $65 in Q4, representing a 55% increase versus the same period in 2019.  Our ARPMUP was positively impacted by increased engagement with our iGaming and online sports book product offerings and our excellent cross-selling capabilities. For the full-year of 2020, ARPMUP also increased 29%.  Our B2B business generated $105 million for the full-year, down just 3 million versus prior year and was flat in Q4 versus prior year. Our B2B business in 2020 was heavily impacted by COVID, as revenue declined 7 million in Q2. And once sports resumed in Q3, we experienced 5% growth in the second half of the year.  Our revenue exceeded the midpoint of our prior guidance by almost $95 million. Roughly 50 million of the beat was due to assumptions about market factors that broke our way. Of this 50 million, around 20 million was due to a more favorable than anticipated sports calendar, particularly for the NBA and college sports and the extension of mobile registration in Illinois.  Roughly 30 million was due to our OSB hold percentage being higher than we forecast. The remaining 45 million of the beat was due to over performance in our core business as a result of uniquely productive customer acquisitions, great customer engagement and cross-selling, our Q3 marketing spend paying back more than expected and a strong launch in Tennessee.  We generated $359 million of gross profit dollars on an adjusted EBITDA basis for the entire business in the full-year, representing a 15% increase versus fiscal year 2019. We generated 188 million of gross profit dollars in Q4, a 59% increase versus the fourth quarter of 2019.  Gross margin rate for the business declined as expected. As we have noted in the past, our gross margin rate has been impacted and will continue to be impacted by a mix shift out of our more mature and thus higher margin DFS product offering and into our higher growth rate and currently lower margin OSB and iGaming product offerings. In addition, gross margin rate within a period is impacted by promotional intensity, typically most intense when a new state launches and at the beginning of a major sports season as we aim to acquire customers.  Gross margin rates will be positively impacted by the conversion to our own bet engine in the back half of 2021. GAAP gross margin rates declined more than our adjusted gross margin rate. This is due to the amortization of acquired intangibles related to the business combination. Our general and administrative and product and technology costs on an adjusted EBITDA basis were 154 million and 125 million, respectively, as we invested to achieve scale in our back office functions such as finance and accounting, legal and human resources, as well as continuing to invest in our products.  For the quarter, we spent 52 million and 39 million, respectively, which includes bonus accrual and payroll taxes on LTIP vesting. Our 2020 sales and marketing expenses were 475 million, which include our external marketing. External marketing was higher than prior year as we launched mobile sports betting in Iowa, Colorado, Illinois, and Tennessee and iGaming in Pennsylvania and West Virginia.  Additionally, we continue to see accretive LTV to CAC opportunities, which allowed us to invest deeper in marketing, in part due to the stay at home nature of COVID and the unique sports calendar in the third quarter in particular.  For Q4, we invested 184 million on sales and marketing versus 63 million in Q4 2019. A key driver of the $121 million increase was our external marketing investment in states that were live for their first full Q4, including Pennsylvania, Iowa, Illinois, Colorado, as well as our launch in Tennessee.  Adjusted EBITDA for the year was a negative 396 million. Adjusted EBITDA does not include one-time and non-cash expenses such as stock-based compensation and transaction-related expenses. Adjusted EBITDA for the quarter was a negative 88 million as we rolled out our new state playbook in multiple jurisdictions, and continued to invest in our product technology and G&A functions.  In the quarter, we expensed $180 million in items that we exclude from adjusted EBITDA but are included in GAAP net income, notably 149 million for stock-based compensation and 31 million for amortization of acquired intangibles, depreciation and other amortization, and transaction-related expenses. Our stock-based compensation expense reflects the vesting of RSUs as a result of our strong stock performance in 2020.  Moving on to our balance sheet and liquidity. We are well capitalized to execute our multi-year plan and address our key priorities of taking advantage of this unique time for customer acquisition, entering new states as they legalize, continuing to lead the market on product innovation, and exploring opportunistic and creative M&A. We ended the year with $1.8 billion of cash on our balance sheet and no debt.  Looking forward to 2021, on our third quarter earnings call in November, we introduced a range for our 2021 revenue of $750 million to $850 million. Given our strong finish to 2020 and the underlying acquisition, engagement and retention of our players, as well as our recent launches in Michigan and Virginia, we are increasing our guidance to 900 million to 1 billion of revenue for 2021, which equates to year-over-year growth of 40% to 55% and a 19% increase compared to the midpoint of our previous guidance.  The increase reflects strong performance in Q4, which has continued in Q1 2021, substantial user activation due to our 2020 marketing spend and the launch of mobile sports betting in Michigan and Virginia and iGaming in Michigan. We assume that all professional and college sports calendars that have been announced come to fruition and that we continue to operate in the states in which we are alive today.  These states collectively represent 25% of the U.S. population for mobile sports betting and 10% of the U.S. population for iGaming. The range also assumes that the Governor of Illinois does not extend the suspension of the in-person registration requirement. Future revenues and marketing spend will be higher for each month Illinois chooses to extend the suspension.  We expect both MUPs and ARPMUP to grow in 2021, with MUPs increasing at a higher rate than ARPMUP. Regarding our 2021 quarterly revenue cadence, all things being equal, which means no new states launch beyond Michigan and Virginia, we expect Q1 and Q2 to be about equal as a percentage of full-year revenue in the lower 20% range with Q1 slightly higher than Q2. Q3 is expected to be close to 20% of full-year revenue. We currently expect the fourth quarter to account for slightly more than 35% of our revenue for the year. While we are not providing guidance for 2021 adjusted EBITDA, sales and marketing expense is the key input. Sales and marketing in older vintage states will begin to moderate, but 2020 and 2021 vintage states will have increased sales and marketing as we execute our new states playbook and lap partial years in 2020. The net effect is that we expect to spend more on marketing in 2021 compared to 2020.  From a quarterly perspective, we expect our adjusted EBITDA loss to be widest in Q3 followed by Q1. The first quarter will be impacted by our launches in Michigan and Virginia in the third quarter by the start of the NFL season.  We expect our second quarter loss to be better than Q1 and our fourth quarter loss will be the smallest as we benefit from higher seasonal revenue. As a reminder, our marketing spend is impacted by the launch of new states. Our spend is also highly flexible and can be reduced or paused altogether if this sports calendar shifts.  That concludes our remarks, and we will now open the line up for questions.
Stanton Dodge: Operator, you can open the line up for questions, please. Operator?
Operator: [Operator Instructions]. And our first question comes from the line of Ryan Sigdahl from Craig-Hallum. Your line is now open.
Ryan Sigdahl: Great. Good morning, guys, and congrats on the strong results and business trends.
Jason Robins: Thank you.
Ryan Sigdahl: Very helpful commentary on guidance for 2021. Just high level thinking EBITDA on a dollar basis directionally flattish, better, worse, anything you can comment there? And then we'll kind of back in to all the other details between there.
Jason Robins: We're not providing guidance for EBITDA in 2021, just top line guidance. The reason we're not providing guidance is it's hard to predict what new states will open up. And also we generally are flexible in terms of how we flex up or down our customer acquisition investment, depending on how results are coming in. So it's really tough for us to guide to that at this point. For that reason, we are choosing not to.
Ryan Sigdahl: Gotcha. Gotcha. Then I appreciate the color on New Jersey. I believe I caught right that state level contribution margin is positive, just to confirm that? And then secondly, how are you seeing other states ramp? Similar path, better, worse in Michigan, Tennessee, Virginia, some of these newer ones expect better than kind of the New Jersey cadence?
Jason Robins: You're correct. New Jersey was contribution positive in 2020, and that was despite no sports or no traditional sports that we saw for a few months in Q2 and late Q1. I think it would have been even better have we had a full sports calendar for the year, although we did make some of that back up in the back half of the year with strong performance in some additional sports games on NBA and NHL that wouldn't have otherwise been played at that time of the year. As far as the other states, it's definitely been a variety. I think if you look at sort of the average, it's quite similar to what we're seeing in New Jersey on a per capita basis. But certainly, there's variation state to state. Michigan, in particular, was very strong on both sports betting and iGaming. Tennessee was pretty strong. Virginia was close to New Jersey, but not quite. But I think Virginia also, it's a bit of a different setup, because it launched around the same time with Michigan. It didn't have iGaming, but certainly did contribute in Virginia. And unlike Tennessee, it launched for us at least the day of the Conference Championship Game. So we only got a little bit at the tail end of the NFL in there whereas Tennessee launched in Q4. So we have quite a bit of ramp to be able to acquire customers and generate revenue during NFL.
Ryan Sigdahl: Great. One more quick one for me and then I'll hop back in the queue. Just on the SBTech and tech integration. Are you planning to do a partial conversion in state by state or are you planning to go all live? And then have you started this process where you have anything to point to? Thanks and good luck. Congrats on the results again.
Jason Robins: Thank you. So what we have been doing is we've done a pilot in Ireland. That was not necessarily, for any reason, other than just to get our team accustomed to the new interface and be able to use the tools and all those sorts of things. And the next step we'll be doing is we're going to choose a state in the U.S. to do a launch and make sure everything's working and work out any kinks. And at that point, we'll be comfortable rolling it out to the rest of the country.
Operator: Thank you. And our next question comes from the line of Jed Kelly from Oppenheimer. Your line is now open.
Jed Kelly: Great. Thanks for taking my questions. Two if I may. Just Jason, one on product. I mean, some of your competitors are offering same game parlays and another one has thought around lightning bet. So how do you think about product differentiation? And then just on the guidance, if you look back in 2019, New Jersey had a pretty significant March around the NCAA tournament. So how should we be factoring in the NCAA tournament around the cadence between 1Q and 2Q? Thank you.
Jason Robins: The question you asked on product, this underscores exactly why we thought it was so important to have our own in-house technology and trading platform, which we acquired along with the business combination back in April of last year. I think this is like, you mentioned same game parlays, that's something that we look to add hopefully shortly after migrating this NFL season, maybe at the migration, depending on the timing of it, but we want to have that ready for this NFL season at the point of migration. And I think one of the reasons that we feel like we've been doing so well on iGaming is we have been actually innovating on products, launching our own games, as we mentioned, more than three quarters of our games in Michigan – I’m sorry, more than three quarters of our revenue in Michigan were generated off of DraftKings in-house created game. And we haven't migrated yet. So while we've been very pleased and have only positive things to say about Kambi, our current partner, we do think that there's just no substitute for a company like ours. It’s a great product and technology-driven between having a reliance on a third-party versus having full control over your own product. And I think what we'll see is, first, a couple of things with the migration, but really it's going to be about what we do over the next year or two or three. Like this is an area I feel very confident that we will generate meaningful progress in over the next few years. It's what we do and really core to our DNA. So I'm excited about it. And I think it's going to be something that we'll really start to be able to talk more about in the back half of the year.
Jed Kelly: Is that on the NCAA tournament?
Jason Robins: Sorry. Can you ask the question one more time?
Jed Kelly: Just if you look back in 2019, New Jersey had a pretty solid month around March Madness and the NCAA tournament. Just how are you figure-factoring in the NCAA tournament in 1Q relative to 2Q?
Jason Robins: I’m going to let Jason Park answer any more granularity. But I will say at a high-level, this is one of the real key times for betters, it's a very popular thing to bet on. It's actually quite different than fantasy. For fantasy, college basketball, college sports, in general, while certainly there's some activity that spikes during the NCAA tournament, it's nothing like we see in betting. So with so many new states, I think, you'll see a lot more there. Jason, I don't know if you want to add anything specific beyond that. But I think that that's the high level how I would describe it.
Jason Park: Yes. And hey, Jed, great to hear your voice. I agree. I mean, we've certainly thought a lot about March Madness. A, part of the tournament will be in Q1, part of it will be in Q2. We've thought about that. And when we look back, we've only had one state with OSB live for March Madness, given the canceled event last year. So we've incorporated that all into the guidance that we provided today.
Jed Kelly: Thank you, and congrats on the results.
Jason Robins: Thank you, Jed.
Operator: Thank you. And our next question comes from Ben Chaiken from Credit Suisse. Your line is now open.
Ben Chaiken: Hey. How’s it going?
Jason Robins: Hi, Ben.
Ben Chaiken: I know you mentioned on March – hey, how’s it going? I know you mentioned on March 1, there's a unique opportunity, right, with Google Play allowing iGaming and OSB apps -- sorry, not OSB apps, but iGaming and OSB apps. I guess with the understanding that maybe 40% of U.S. smartphones or Androids, is there any way to specifically target those customers? Or do you think that they were already using some workaround? Just any thought there?
Jason Robins: Sure. So there's a couple of things. First, Google Play does have an advertising product that if you don't have an app in Google Play, obviously it doesn't make sense to use. So just like we spent on iAds and the App Store, we expect to acquire customers via that channel once we're able to launch. Secondly, we do have people that side load the app now. It's a little bit of a clunky experience. You get like a message saying something along the lines of this is not safe or not approved. And so there's a -- it's a little bit of a clunky experience. It's not the easiest UI. So I think that should improve in terms of more people having Android -- that have Android phones, having the app on their phone, and even amongst the existing customers. Although I would say, probably the majority of customers now have figured out how to side load the app through some of the UIs that we built. A couple more points I'd make. One is, we talked a lot about our highest rated products in both iOS and Android on VFS and for iOS in the App Store on online sports book and iGaming. The reason we don't mention it on Android is it's not in the Google Play Store. So very important to us is to deliver a quality product. We think we have one and we look forward to getting feedback and ratings on that, which will hopefully help solidify our reputation as having a strong product. Secondly, there will be I think two states, I want to say Michigan and Virginia, that weren't added initially, we're hopeful that they'll get added later. But that does create a bit of a clunky experience as well, because users in those states will still have to side load the app, and it's actually really hard to create a UI that's very state specific on that front. So we're working hard to do it so that we can get live in the states that were approved from March 1, but hopeful that Google will approve those additional states. And what we'd like to ideally see is they just kind of set policy where any state that has legal, regulated sports betting and iGaming is automatically included in the policy.
Ben Chaiken: Got you. That's super helpful. And then one more, if I may. I guess just talk about what you're doing to prepare for Canada. That's hopefully the next major catalyst or addition to the business. I know you mentioned an NFL DFS partnership. Not sure if there's anything else to share or expand on there. Just curious, how you plan to hit the ground running or if there's any stats you can share around penetration and traction in that market?
Jason Robins: Well, you're absolutely right. Canada is going to present a really exciting opportunity should it open up. We see really good progress there, both the federal and province level in Ontario legislatively. Ontario, as you probably know, is the largest province. I believe it's somewhere in the neighborhood of 45% of the population of Canada. So to get any province, that was the one to get first so very excited about that. We're hoping additional provinces follow suit, but haven't really seen whether that is the case yet. I think that first and foremost the legislation had to move along and we're seeing that. There's a lot left up to the regulator. It's a little bit different than U.S. legislation where there's a lot of detail in the legislation in Ontario. It's really kind of a line or two, maybe not quite that little but very much left up to the regulator on what the rules of the road are. So we are waiting for regulations. I know those are being worked on by the Ontario government. So once we get that, we'll have a better sense of what timing could be, what sort of product could look like and things like that. And as far as preparing, you mentioned the NFL -- expansion of our NFL deal in Canada, we're very excited about that. We have been doing marketing in Canada for quite some time. We have a very large daily fantasy sports customer base. Ontario, obviously being our biggest province in terms of customer base, so we feel very well prepared both to convert our existing daily fantasy customer base as well as to expand what we're doing with the existing marketing channels that we utilize in Canada.
Ben Chaiken: Cool. I appreciate it. Thank you.
Jason Robins: Thank you.
Operator: Thank you. And our next question comes from Michael Graham from Canaccord. Your line is now open.
Michael Graham: Thanks and congrats on great numbers. I have two questions, the first just on ARPMUP expansion. You mentioned engagement and cross selling. Just wondering, is that really just between your OSB and iGaming products or just what can you tell us about what really drove that? And sort of you mentioned it, you expected ARPMUP to expand but more slowly than players in 2021, but just maybe touch on that. And then I have a follow up. Thanks.
Jason Robins: Thank you. So a few things going to ARPMUP. One is the cross selling and it's really across all of our products, certainly sports book to iGaming is one but we cross sell between all of them. We cross sell DFS. Certainly the sports book and iGaming we cross sell back to DFS from people who get acquired on sports book or iGaming and we cross sell people who get acquired on iGaming to sports book. So I think that it's really -- the way we think about it is we have a platform. We try to target segments of customers to bring them on -- potential customers to bring them on in the most efficient manner possible. And then once they're on the platform, we try to get them to engage with all of our products. And it's really about optimizing across all things that we offer. The other factor in ARPMUP which enables what I just described is just more states opening up. And one of the reasons that we have said that we expect users to expand more than ARPMUP is in our guidance, we have not included any new states that we’re not already in. So last year, obviously, there were several states that launched. And I think if you were to see new states launch in 2021, we would expect faster growth in ARPMUP. But right now, we don't have any line of sight to that. There's obviously a lot of exciting things happening on the legislative front with almost 20 states considering new sports betting legislation to open up and I think four or five -- four I think considering iGaming legislation. So hopefully, we'll get see some of those get done. I don't know, even if they do get done if they’ll launch this year or next year. So once we get more line of sight to that, then we'll be able to have more of a view on how that might impact ARPMUP throughout the year. But right now, in all of our guidance, including your question on ARPMUP, we're not including any of these states.
Michael Graham: Okay, thanks. And then I just wanted to ask a quick one on college sports. Just what impact do you think college sports had on your performance in Q3, Q4 and sort of how important is that relative to professional sports?
Jason Robins: College sports in sports book are big. They're not that big in daily fantasy sports, but they are really important on sports book. So it certainly was something that we didn't know would happen. We were a little bit conservative in our last couple of quarters’ guidance and thinking through, would we have full college sports calendars? Would we have all conferences playing? At the time, for example, we guided in our Q3 call, at least two of the conferences had basically said they were shutting down the season. They ended up starting, which is great. So it certainly was a boost to see that. And I wouldn't say it was the number one thing, but it was a material factor, sure.
Michael Graham: Okay. Thank you, Jason.
Jason Robins: Thank you.
Operator: Thank you. And our next question comes from Thomas Allen from Morgan Stanley. Your line is now open.
Thomas Allen: Hi. Good morning.
Jason Robins: Good morning.
Thomas Allen: So when I look at the fourth quarter revenue results, they beat your guidance. But I think some of us expected that to happen, given the strength of the state reported data. But revenue beat the Street by a considerable amount. Do you think we were not appreciating the strength of the DFS business, the Colorado and Tennessee business where data is not, like your market share is not disclosed or the decline in promos? Can you talk about kind of what the strength of those things were?
Jason Robins: So about half of the beat came from things that were assumptions we made that literally all broke our way. Obviously that's not going to happen all the time. And that includes things like full sports calendar being played with no rescheduling into next year of NFL games. We thought there was a possibility that certain games might get moved from Q4 into Q1. It didn't happen. We also saw that, as was mentioned earlier, all college sports were played. The biggest one was hold, came in higher. That's obviously something that can swing either way. And Q3, as you may recall, hold was really bad to start the NFL season and we just barely beat our numbers. So that was a pretty big factor. I think the biggest factor with hold came in higher than expected. And that's just based on sport games outcomes, but not anything we were doing in particular, and I think it was higher across the board for the whole industry. Another one was we did not make the assumption that the Illinois executive order that allowed for mobile registration would get continued. Obviously, that's something that's not within our control and we don't know, so we weren't counting on it. That ended up getting continued not just through the end of the year, but through the Super Bowl and we're hopeful it gets extended again. There's a lot of things that really broke our way. And then the rest of it was business over performance. And as far as your question, Tennessee was definitely a big factor. Tennessee, we didn't know before it launched, but ended up being one of the strongest starts of any state. So that was really great to see. And then I think -- which is why we've been a bit cautious about where we sort of pegged our numbers thinking through the back half of next year. There was a lot of boost I believe. It's impossible to quantify how much. But when I look at our marketing performance in 2020 versus Q4, Q3 of 2019, it was just like off the charts better. And I think it was due to this whole stay at home and people cutting back on other leisure spend and entertainment spend, and having a larger share of the overall entertainment and leisure spent wallet. And I think all of those things may or may not continue. We haven't assumed that they will as things get back to whatever normal it is in the back half hopefully of this year. So we're being a bit cautious there. I think that, in all likelihood, if there was a benefit, it won't last forever. So it's probably not just being cautious, it’s probably being realistic. And I think it was hard – the thing is I’m saying it's hard to say what's going to happen at the end of this year, the back half of this year, or whenever people kind of start going out to concerts and traveling and all those sorts of things again. I think it’s also hard for us to have known and even hard now to quantify what the impact exactly was of that on Q4 as well as Q3 of last year. So I can't give you an exact number. But what I can tell you is, I'm personally very convinced that there is certainly a lot of things the team did well. We had a lot of great optimizations and things that we figured out on the product and marketing front that led to over performance. So it wasn't entirely that. But I'm sure a good chunk of it was this sort of moment in time. And that's why we were so aggressive on the customer acquisition front. Once you get the data and then you see it's working, we're very flexible and press the gas quickly. And if it's not, we'll go the other way. We're very much driven by what the results in the data are. So, we literally could not, even if we wanted to, hit our cap target on – I think we were below our cap target on Q3 and Q4. I just kept telling the team trying to find more places to acquire customers. And it was just such great results that we were trying to max out volume as much as we could, but we really couldn't even go any deeper. And we're still well below our cap target. And I don't know if that will be the case this year, at the end of the year, but we'll have to see it. There probably will be some factor or some impact, but really hard to quantify it.
Thomas Allen: Thanks, Jason. You answered my first follow up question, which was it did look like 4Q '21 revenue guidance was conservative, about flattish but I think you gave good color there. So have you seen – on free play, right? So when we think about the kind of promotional side, have you seen some rationalization on free play? We can see what you're spending on marketing, but it's harder to read into free play.
Jason Robins: Yes. I think that what we're seeing – you’re talking about like promotional spend or specifically for --
Thomas Allen: Yes, promotional spending. 
Jason Robins: So similar to external marketing, advertising spend, we're very much data driven on that and it's seasonal. We're more aggressive on promos in periods where we're more heavily acquiring new customers. And if you look at sort of the breakdown between where promo spend goes, a much higher percentage of new customer gross revenue goes to promos than existing customer. The most aggressive offers are the new customer offers. So what you will see, and you started to see this a little bit in Q4, is as the mix of customers shifts from more new customers to more existing customers, then you will see a natural decline in the rate of promo.
Thomas Allen: Thanks.
Operator: Thank you. Our next question comes from Kevin Rippey from Evercore ISI. Your line is now open.
Kevin Rippey: Hi. Thanks for taking the question, guys. Really just two. If you could give any more color about the contribution of iGaming relative to OSB specifically in the states where both are legal in terms of how many -- what percentage of players play both, those kind of things, that'd be really helpful? And then maybe just a little bit more to on the gross margin benefits of iGaming or I guess gross margin differentials between iGaming and sports betting and how we should think about that as we think about the longer-term model. I appreciate it. Thank you.
Jason Robins: So we are cross selling over 50% of our sports betting customers into iGaming. And it's a very important product. I believe it's probably a larger market if there were -- on a state level, it's a larger market, certainly we saw that in Michigan. We're seeing that albeit it’s on a different lifecycle timeline in New Jersey. And I think it's probably safe to say that it's a larger market. We're going to have more color on that. We have an Investor Day coming up in early March that we will talk more about how we view the size of each of the relative market. As far as gross margin impact, it's really hard to say. We don't really allocate promotional dollars by product, because people can use them across the platform. So it's in thinking on like things like payment processing fees. People may deposit and play one particular product first and then play another. So it's hard to say, this deposit should have been allocated to this product or that product. So it's not really something where we see a distinction. We view both iGaming and sports betting as having very similar gross margins, if you kind of don't distinguish, and as I said, it’s sort of impossible to distinguish, where deposit payment processing fees and promotional dollars and things like that are coming in on. They're actually remarkably similar in terms of their margin profile.
Kevin Rippey: All right, great. And maybe just one more. One thing I hear a lot about is on iOS, like the iOS 14 IDFA changes, certainly impact as it relates to that with respect to your app install campaigns or anything on the marketing front that we’re still thinking about that you guys might have to navigate in like the first half of the year?
Jason Robins: I actually don't exactly know the detail on that. But what I can say to you is that we knew about this. We've been preparing for it. We, generally speaking, don't view it as having a massive impact, but it will have some impact. But I think most of what we've done has not really changed based on those regulations.
Kevin Rippey: Great. Thanks, guys.
Operator: Thank you. And our next question comes from Stephen Grambling from Goldman Sachs. Your line is now open.
Stephen Grambling: Hi. Thanks for taking the questions. Just thinking about the engagement in the app, I guess first, what is the average number of bets your typical customer makes a year? And how long is the average time on device per better login? And then second, as you look across more mature versus new states, how are those two trends, frequency and time spent on device evolving?
Jason Robins: We haven't disclosed anything around average bets or time. We certainly can consider adding some of that material to our Investor Day. But I would be lying to you if I told you I actually knew the answer right off my hand anyway. So beyond not disclosing it, I couldn't tell you but something we can look into and consider talking about on Investor Day. As far as new versus existing states, we’re seeing very similar median and average performance. There is obviously some variation state to state, but virtually across all the metrics we look at, whether it’d be revenue, active players, retention rates, engagement in time and app, average bet, average bet size, it’s actually quite similar if you look at sort of the averages. But there is certainly some variation state to state. Some of it is dependent on which types of products and games are more popular. In Michigan, for example, we saw a much wider gap between the amounts of engagement in iGaming versus OSB versus some of the other states that have both of those products. There is also differences in what sports people bet. College betting is much more popular in West Virginia relative to professional. Still professional is more popular, but the relative gap is quite narrower than you see in certain other states like New Jersey. So it’s definitely variable state to state. But if you kind of look at the averages, it’s quite similar to New Jersey.
Stephen Grambling: That’s helpful. And perhaps as a follow up, you referenced some of the things you’re doing on the content side with Bleacher. More, I guess, broadly would you generally -- how do you evaluate potentially advertising on the app or monetizing user data another way?
Jason Robins: We do take advertising on free to play games. We are not doing that for pay to play games. We think that if you’re paying for a product, you should not have to see ads and we feel more comfortable doing it on free to play games. There is some Web site advertising on the DFS products with the one exception, but the vast majority of it is in free to play games. So that’s the sort of approach that we’ve taken. And right now we are actually turning down ad dollars. We have less inventory between our free to play games and the content that we’re producing than we have demand for advertising. So one of the things we are looking to do is to figure out ways to expand our content footprint and have both more inventory to take ad dollars but also content is a very effective way of acquiring and engaging and monetizing our user base as well. So one of the nice things about it is it has that great synergy as you can make money on the advertising side, but you can also make money by using content to acquire players and activate players and introduce new products and new forms of betting to them.
Stephen Grambling: Makes sense. Thanks so much. I’ll jump back in the queue.
Jason Robins: Thank you.
Operator: Thank you. And our next question comes from Shaun Kelley from Bank of America. Your line is now open.
Shaun Kelley: Hi. Good morning, everyone. Thank you for taking my question. I just wanted to go back to the promotional allowances. When we kind of try and triangulate into this, it seems to us that there was a pretty big spread between some of the state reported GGR and what you guys ultimately reported in net revenues for the quarter. So I’m just curious. Did we see or did you see a meaningful sequential change in promotional allowances just -- and some of this may be reporting related, but between what you reported in Q3 and what you actually reported in Q4?
Jason Robins: We definitely had a decline in promotional spend, largely driven by the new customer versus existing customer mix. So Q3 was a huge quarter for a customer acquisition for us with the start of NFL and with NBA, NHL completing their season and going into the Playoffs. So between those things, it was a really great time. There’s also a lot of pent-up demand for online sports betting, given that there is a real lack of traditional sports in Q2. So that certainly was a big factor, just the mix shift between new and existing customers shifting more towards existing customers in Q4, which as we said is going to have a natural downward impact on promotional rate. Also, you mentioned this too. There are definitely differences in state reporting around how promotional dollars are factored into or not factored into the taxable basis. And what we try to do internally is really work at the individual state level to be able to grow the state in a way that is both tax efficient and makes sense from a customer and data perspective in terms of the impact of the promotions we’re running. And sometimes the reporting does sort of -- it is a little bit hard to follow exactly what the promotional spend was from that.
Shaun Kelley: Got it. That’s helpful. And then maybe like big picture, Jason, just longer term, if we’ve got some volatility and when you do have one of these quarters where you’ve got big new user acquisition or new state launches and then things kind of level out. Just over the long term, is there anything in the data or anything you’re seeing right now that would suggest there is any difference in sort of what your estimated long-term kind of promotional allowance would be? I think we see that number kind of tend to stabilize in like the mid 20s in Europe and some other markets, but just kind of – long term, is there any difference here really to the model, or is it, look, we’re just in a lot of volatility given where we are in our growth curve?
Jason Robins: I think it’s definitely the latter. We’re going to talk more about this at our upcoming Investor Day in early March. But the punch line is we don’t see any difference in the long-term projection there from what we said in the past. There is going to be a lot of optimization, but by far the largest impact will come from just the natural mix shift from new customers to existing customers as business matures and the rates of promotional spending are most aggressive with the customers. We do, do promotions for existing customers, but they’re far more aggressive with new customers. And simply if we didn’t change a thing, you’d see a significant decline as the business matures. Now what will be interesting is new states will launch and then as we enter those new states and acquire customers, you’re going to see an increase at the state level, which, of course, depending on the quantum of states, in which states, and how big the population base is, it could create fluctuations. But if you just sort of look at it in an existing state as a unit -- at an existing state as a unit, that natural decline will occur simply from the statement sharing in the mix of new customers to existing customer shifting towards existing.
Shaun Kelley: Very helpful. Thank you.
Jason Robins: Thank you.
Operator: Thank you. And our final question comes from the line of Vasily Karasyov from Cannonball Research. Your line is now open.
Vasily Karasyov: Thank you. Good morning. I wanted to ask you to sort of rank the customer acquisition channels in terms of cost, customer acquisition costs, so from like high to low or low to high. Just wanted to see how -- and also if you could comment on how different those costs are in each channels. That would be super helpful. Thank you. And what drives also the difference, the competitive action. I understand that the life cycle in a particular state is a driver, but also the rest of them would be helpful. Thank you.
Jason Robins: Yes, a good question. We are pretty cautious about how we disclose anything around this, because as you can imagine, this is a real competitive area. Being able to optimize across a number of different marketing channels at scale is something we believe we’re really good at. We’re a very data driven company and we’ve been doing this a long time. So we have a lot of great historical data to rely on. So we’re a little cautious. I think what I can probably answer at a high level, and this will come as no surprise, is television is definitely typically the most expensive channel, but also the highest reach channel. And certainly from a creative standpoint, television ads can -- you can say a lot more in a 30 or 60 over even 15-second ad than you can in a display ad. We’ll typically try to max out digital first since that’s the most efficient and also the easiest to measure. And then to gain additional reach and scale, we go to television and other sorts of offline channels.
Vasily Karasyov: Thank you very much.
Operator: Thank you. And that concludes our question-and-answer session for today. I’d like to turn the conference back over to Jason Robins for any closing remarks.
Jason Robins: Thank you all for joining us on today’s call. We appreciate your insightful questions and look forward to continuing our conversations with you. 2020 was an outstanding year for DraftKings still with many impressive accomplishments. But we also recognized the suffering and challenges that many in our communities have experienced and continue to face.  We’re excited for the future. DraftKings is well positioned with over $1.8 billion in cash to enter new states as soon as practicable, to drive our continued product innovation, acquire customers and explore opportunistic M&A. Matt, Paul, Jason and I are excited to share more insight and information with you at our Investor Day on March 9. We will explore our latest outlook on TAM, sources of competitive differentiation, unit economics and EBITDA at maturity. I hope all of you stay safe and well, and we look forward to speaking with you again soon.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may now disconnect.